Operator: Good morning, ladies and gentlemen, and welcome to the Piper Jaffray Companies Conference Call to discuss the Financial Results for the Third Quarter of 2012. [Operator Instructions] 
 The company has asked that I remind you, statements on this call that are not historical or current facts, including statements about beliefs and expectations, are forward-looking statements that involve inherent risks and uncertainties. Factors that could cause actual results to differ materially from those anticipated are identified in the company's earnings release and reports on file with the SEC, which are available on the company's website at www.piperjaffray.com, and on the SEC website at www.sec.gov. As a reminder, this call is being recorded.
 And now, I'd like to turn the call over to Mr. Andrew Duff. Mr. Duff, you may begin your call. 
Andrew Duff: Good morning, and thank you for joining us to review our third quarter results. During the quarter, our continuing operations performed well and we are pleased with our results. Our strong performance reflects robust fixed income institutional brokerage revenues, particularly from strategic trading; our decision to exit the Hong Kong Capital Markets; additional cost reductions taking effect; and solid market share in public finance and public equity offerings. I'll provide some additional perspective on continuing operations and then move to the closure of our Hong Kong Capital Markets business. 
 Public finance revenues were solid and we continue to gain market share in this business. Year-to-date through September, market share was 4.9%, up 110 basis points or 29% compared to the full year of 2011. Equity Capital Markets improved during the third quarter and volatility remained low, both of which contributed to higher capital raising during the third quarter for the market and for us. We completed equity financings for our clients in health care, consumer and technology sectors. We were a bookrunner in 64% of transactions. Market share through September continued to be solid. 
 Turning to Corporate Advisory. We were active in the health care sector and TMT and industrial growth also contributed. We have a solid backlog and a number of transactions have been announced. Equity institutional brokerage revenues rose 8% compared to the sequential second quarter but continue to be depressed by both low volumes and volatility. 
 Asset Management revenues increased 5% compared to the second quarter of 2012. As I noted at the beginning, we generated robust fixed income institutional brokerage revenues. The performance had a material positive impact on our quarterly results and this level of revenue should not be considered the run rate for future quarters. 
 Client-related revenues were solid, up 22% compared to the sequential second quarter. All of the strategic trading businesses contributed to performance and our mortgage strategy delivered very strong results. Over the past 5 years, we have continued to mature and diversify our strategic trading activities. Importantly, we have developed and implemented the infrastructure and controls to manage and support the strategies. In 2011, we added a mortgage-backed security strategy. The core of this is to leverage trading inefficiencies in smaller positions in primarily investment grade, non-agency MBS securities. 
 In early 2012, the team identified additional opportunity with the convergence of positive fundamental and technical trends. In 2010 and 2011, fixed income institutional brokerage revenues totaled just under $80 million annually. During that time frame, we expanded our middle market distribution and ramped and diversified our strategic trading business. Results from strategic trading will be lumpy and our third quarter fixed income revenue should not be considered the run rate for future quarters. However, we would now expect that fixed income institutional brokerage, on average, could generate approximately $25 million in revenues per quarter. 
 We continue to believe that investing in targeted and defined strategies that leverage our intellectual and financial capital is a key component of our strategic direction and financial performance. As we look ahead, several factors could cause volatility in the fixed income markets, including the presidential election, the fiscal cliff and potential tax reforms. 
 Now I'll turn to Hong Kong. In August, we disclosed that our exit from the Hong Kong capital markets would occur through a shutdown. And as of September 30, operations have ceased. We devoted considerable resources to evaluating all available alternatives, and though very difficult, this was the best business decision. I'd like to thank Alex Ko, our head in that region, for his leadership over the past 5 years and his tireless efforts to assess various options. 
 I'd also like to thank all of our employee partners who built a well-regarded middle-market franchise in Hong Kong and our clients for the business over the past 5 years. We'll continue to provide research coverage on U.S.-listed, China-based companies by our U.S.-based research analysts. And we'll maintain a small Hong Kong office to facilitate cross-border M&A opportunities. It is vital that we operate the business with competitive profit margins and shareholder returns. We are fully engaged with our strategy to organically remix our portfolio to higher margin, higher return businesses, namely: Asset Management, Public Finance, Corporate Advisory and Principal Investing. We are pleased with our overall performance for the third quarter. We are benefiting from the investments that we have made over the past several years and additional operating leverage in our model. As a result, we have growing confidence that we can continue to improve our financial results going forward. 
 Now I'd like to turn the call over to Deb to review the financial results in more detail. 
Debbra Schoneman: Thank you, Andrew. First, I'll provide comments on our results from continuing operations and then provide additional financial detail around the discontinued Hong Kong Capital Markets operation. In the third quarter of 2012, continuing operations generated net revenues of $133 million and net income of $13.5 million or $0.72 per diluted common share. Our pretax operating margin was 17.1%. Compared to the sequential second quarter, all of our businesses contributed to our performance. 
 For the third quarter of 2012, compensation and benefits expenses were 59.2% of net revenues, down from 63.1% and 60.6% for the third quarter of 2011 and second quarter of 2012, respectively. The improvement was mainly driven by the significant contribution from strategic trading, which has a lower compensation payout. Based on continuing operations going forward, we would expect that the compensation ratio should approximate 60% to 61% depending on the level and mix of revenue. 
 Non-compensation expenses were $31.5 million, just above our current quarterly goal. We had higher legal fees and recorded a legal reserve relating to a FAMCO matter dating back to 2008. Excluding that, we were well within our quarterly goal. 
 Now I'll turn to our segment results. For the third quarter, Capital Markets generated net revenues of $115 million, pretax operating income of $21 million and a pretax operating margin of 17.9%. Strong revenues and additional cost reductions drove the significantly improved Capital Markets performance. 
 Asset Management generated $17.7 million of revenues, $2.1 million of pretax operating income and a pretax operating margin of 12.1%. Operating performance within the business was good. Financial results, however, were negatively impacted by the higher expenses related to the FAMCO matter that I mentioned earlier. Assets under management were $13.8 billion, up 9% compared to $12.7 billion in the second quarter of 2012. The increase in AUM was driven by market appreciation and positive net cash flows. 
 Now I'll turn to discontinued operations. For the third quarter, net income from discontinued operations was $6.8 million or $0.38 per diluted common share. We recorded a significant U.S. tax benefit, which more than offset the restructuring charges and operating expenses. We will realize net cash proceeds of approximately $19 million net of restructuring charges and above the top of the range that we discussed in the second quarter. Substantially, all items related to the shutdown of the Hong Kong Capital Markets business were recorded in the third quarter. 
 In summary, revenues year-to-date from continuing operations have increased by 2%. Yet we have increased our pretax operating margin 1.4 percentage points or 13%. Year-to-date results have been driven by our exit from Hong Kong and stronger performance from the Capital Markets segment, solid contribution from Asset Management and reduced non-compensation expenses. 
 This concludes my remarks. And I'll turn the call back to Andrew. 
Andrew Duff: That concludes our formal remarks. Operator, we would now take questions. 
Operator: [Operator Instructions] Your first question comes from the line of Matt Fischer with CLSA. 
Matt Fischer: First off, on the Asset Management front. The flows versus appreciation, could you give us a sense for how much were inflows and... 
Debbra Schoneman: Yes. Between the two? 
Matt Fischer: Yes. 
Debbra Schoneman: So the majority of the increase was related to market appreciation. But we did see some growth in the net new assets versus what we've seen historically. 
Matt Fischer: Okay. And then any particular products or... 
Debbra Schoneman: It really was very much across the -- multiple products and both within ARI and our MLP product, as well as FAMCO. 
Matt Fischer: Okay. And then I appreciate the color you gave within fixed income and what, I guess, is a reasonable recurring revenue stream. Maybe that delta, that difference, what exactly -- could you give us a bit more color in terms of that additional revenue? And could -- what is the risk that in out quarters, you either beat on the upside or potentially the opposite effect where it's a hit to that $25 million run rate, maybe just provide a bit more color there. 
Debbra Schoneman: Yes. I would say from a quarter-over-quarter delta, I'm just starting there, a significant portion of that was related to the fixed income strategic trading, primarily mortgages. Although as Andrew did mention in his comments, the client-related revenues were up 22% as well. Maybe a way to answer it is, if you set aside the strong MBS performance in this quarter, client-related revenues represent the majority of that fixed income institutional brokerage line. So that maybe gives you some sense of how much is strategic trading versus client flows. 
Andrew Duff: And I would just add that we would expect the majority of revenues in our fixed income brokerage will be related to client activity. 
Matt Fischer: Okay. And in terms of pipelines, maybe a bit more color there for investment banking by product? 
Andrew Duff: So you can look at what's been publicly announced and we have several transactions that have already been announced in the quarter, some of which have closed, some of which have yet to close. 
Matt Fischer: Okay. And then I guess, in advisory, what are you thinking or what's the sense in terms of discussion levels and when you sit here today versus the end of last quarter or a year ago, how is the sentiment out there for investment banking? 
Andrew Duff: We would say the activity and the dialogue remains pretty constructive. There is still some uncertainty related to some of the factors we mentioned, including the election. But the dialogue is pretty constructive from what we're seeing with our client set. 
Operator: Your next question comes from the line of Joel Jeffrey with KBW. 
Joel Jeffrey: Just a quick question, I must be missing something. I'm just struggling a little bit, the $0.72 you talked about from the continuing operations, I'm struggling on how we're getting to that with the net income number or the income from continuing operations you gave us in the share count. Is there another adjustment in there that should be made? 
Debbra Schoneman: So are you familiar with the bifurcation of our earnings between our diluted shares and our participating shares? 
Joel Jeffrey: Yes. 
Debbra Schoneman: Okay. Because otherwise, it should be consistent with that. And the shares at the $15.2 million are what's ultimately the net income applicable to the Piper Jaffray common shareholders will be divided by. 
Joel Jeffrey: Okay, I'll go back in and rerun those. 
Debbra Schoneman: Yes, certainly. Let us know if you have further questions. 
Joel Jeffrey: Okay. And I guess the other question I have is just looking at sort of the industry numbers for the quarter, I mean it didn't seem like a terribly strong client activity number on the fixed income side. Can you just talk a little bit more about why you guys saw a relatively strong pick up in your client activity? 
Andrew Duff: So it's related to a number of things. We did have a reasonable activity and we've also ramped our middle market sales force in particular. It's up about 20% in the last 12 months and that's generating additional activity for us. 
Joel Jeffrey: Okay. And then so essentially it was sort of this quarter these guys have essentially ramped up to where you view their production is being sustainable? 
Andrew Duff: Yes, I think that's a fair characterization. And we're continuing to hire into the business but the hiring in the last 6, 8 months is probably now essentially ramped. 
Operator: Your next question comes from the line of Devin Ryan with Sandler O'Neill. 
Devin Ryan: So just a clarification, the 22% is that from last quarter? 
Debbra Schoneman: Correct, that's the sequential increase. 
Devin Ryan: Okay. And then the products that you're highlighting would be primarily in public finance? 
Andrew Duff: Yes. It's a broad mix with our middle-market sales force. They do a lot with our municipal calendar but also active fairly [ph] across the full taxable products at mortgages, agencies, governments, short-term securities. 
Devin Ryan: Okay. And then just lastly, a point of clarification. In terms of that $25 million kind of a normalized number, I know that, that's just kind of a target and then it can bounce around quite a bit from there. But is that -- that number is primarily comprised of what you view as kind of the core just client flow business and a lot less of the strategic trading business? 
Andrew Duff: It is inclusive of both, Devon, but the majority, we believe, will continue to come from client activity. 
Devin Ryan: Okay, great. And when we think about the strategic trading gains, are the majority of the gains realized or unrealized? Then is that book turning over frequently, so that essentially any quarter you guys can be positioned differently? Or is that performance going to be more tied to just the markets moving up and down in whatever products that you're positioned in? 
Andrew Duff: Yes. They adjust the strategies continually based on their perspective and their valuation of the underlying securities, the risks involved and we continue to be active in the mortgage-backed strategy. We would anticipate that results would moderate from the very strong third quarter. 
Devin Ryan: Right. So I mean, in terms of thinking about, do you say this quarter to some other strong quarters where I know strategic trading has been driven by kind of the muni pro [ph] business. Was this quarter a large percentage of the positioning within MBS, or is it just that kind of was what drove the outsized portion of the revenues? I'm just trying to think about how you guys maybe kind of move around within that and I know it's kind of broad strategic trading but within the different buckets of different products. 
Andrew Duff: So we have 3 municipal strategies currently and have been active in thinking about diversifying into other asset classes over time, have been in the mortgage-backed strategy now for about a couple of years and did add capital in the spring when they added to their core view of some attractively priced securities based on their structure and their underlying quality to some convergence of some fundamental and technical dynamics in the mortgage-back market that we thought were favorable. 
Devin Ryan: Okay. Got you. And then within the equity sales and trading business, revenues were up 8% sequentially in the quarter where industry volumes were obviously down a bit again quarter-over-quarter. And I know that it's coming off of a depressed level. But you guys obviously outperformed your industry trends and I would suspect a number of other firms that are going to be reporting in the next couple of weeks on the equities business. So I just wanted to see if there is something maybe in last quarter's results or this quarter's results that help that comparison or anything else we should be thinking about there? 
Debbra Schoneman: Yes. You definitely have hit it when you talked about Q2 being low. So that was something that impacted the increase this quarter and we did see, between the 2 quarters, just better trading performance in terms of the capital that we put to work on the desk. 
Operator: Your next question comes from the line of David Trone with JMP Securities. 
David Trone: So I guess the more basic question that everybody is really thinking about is, if you could make $20 million, you could just as easily lose $20 million, right? 
Andrew Duff: I wouldn't view it that way necessarily, as to the mortgage-backed strategy, David, we view the risk in this quarter as a bit asymmetrical, we selected attractively priced securities based on their underlying value structure, our analysis of how they performed in various market environments and then the market forces provided an additional upside. 
David Trone: Okay. And is this -- just trying to size the risk that's being taken or the reward, too. Is this is as big as you would reasonably expect it ever be or could this -- or are we not necessarily at the edge? 
Andrew Duff: I'd say if you look back at our strategic trading after the last 4 or 5 years, David, it can be lumpy quarter-to-quarter and I'd anticipate that would be the case going forward as well. 
David Trone: Yes, I know lumpy. But is this about as big as we would expect to see a gain or could we turn around some day and see it be 50 or something like that? 
Andrew Duff: This is probably in the range of what we've seen historically, and again, you probably know this, the non-agency mortgage-backed securities are the #1 performing asset class this year and we had capital applied to that, it was very favorable. I'd say it's on the higher end of what we've seen. 
David Trone: Okay. And the positions, do you personally and others have a pretty fairly rigorous process of monitoring what they're doing? 
Debbra Schoneman: I can start with that one and then if Andrew wants to make any additional comments. So we have risk management policies and limits with our strategic trading just as we do with any of our other desks and with other businesses. We do have realtime risk management tools that the trading flow goes through and our risk management team monitors that on an intraday basis. And one of the key things for me, too, is we have a financial risk committee made up of senior management. Andrew and I both sit on there as well as heads of businesses and trading desk heads and we meet monthly at a minimum and review all of the policies again both strategic trading, as well as our other inventories, really looking at how making sure everything is in line with limits and looking at the go forward strategy as the various desks are perceiving them and actually it goes up even to the Audit Committee from the standpoint of looking at the risk across these various desks. 
Operator: Your next question comes from the line of Michael Wong with Morningstar. 
Michael Wong: I was just wondering if you can talk about whether you believe that future debt financing demand may have been pulled forward by the generally absolute low level interest rates and maybe tightening of credit spreads. I know that your debt financing was sequentially a bit lower but just in general, do you believe that debt financing demand has been pulled forward lately? 
Andrew Duff: Yes, I would not characterize it as pulled forward. There's still a pretty healthy bit of refunding in the mix versus new money issuance but I would not characterize it as pull forward. To the point you made, it was actually sequentially down for us quarter-to-quarter. 
Michael Wong: Okay. And just kind of going back to the decision to shutter the Hong Kong operations. Was it just so unrecoverable that you couldn't do what you did in Europe such as refocusing on just M&A and trading and distribution of U.S. securities? 
Andrew Duff: Well there is a bit of analogy there. We have a small office that's going to facilitate cross border M&A and we have the same thing in Europe. We don't see the same opportunity in Europe, we have distribution of our U.S. product and we don't see that opportunity in the Hong Kong market. So that would be the difference. 
Operator: Your next question comes from the line of Brian Hagler with Kennedy Capital. 
Brian Hagler: Just a couple of housekeeping items. First of all, the higher legal fee and legal reserve related to FAMCO, could you talk about how much that was and did that flow through the other operating expense line? 
Debbra Schoneman: So it did flow through the other expense line and through our Asset Management segments and other than that, we really can't talk about the amount of that. 
Brian Hagler: Okay. And you also talked about realizing cash proceeds of $19 million from Hong Kong operations. Did you talk about the timing of that? 
Debbra Schoneman: We did not talk about the timing of that. It is really related to U.S. tax credit. A significant amount of that is available to us now based on carrying some of that back to prior year's gains. And then we do believe that within early 2013, we will be able to recover the -- get back the vast majority of that. 
Brian Hagler: I guess that kind of leads to my next question, should we tax affect that and assume that you're going to basically realize, it looks like $0.75 a share but it sounds like you might have some tax credits that offset that. 
Debbra Schoneman: So from a cash perspective, the $19 million is the tax affected net cash that we received from deducting the net loss from our tax basis in Hong Kong, which happens to be a much larger number. So that $19 million is already tax affected and is the net cash flow. If that answers your question. 
Brian Hagler: Okay, great. And then lastly, I may have missed this, but when you talked about strategic trading being very strong and driven by mortgage-backed securities, I mean, was that QE3 related or what do you think kind of was the catalyst for that? 
Andrew Duff: So it was a number of things. Another way you could characterize it is pretty straightforward demand supply, pretty good appetite for higher-yielding securities. At the same time, the underlying housing fundamentals have been improving and there was also a more favorable capital requirement for risk assets announced in mid-June and then lastly, QE3, which I think actually started in September. So it was really a combination of all those factors throughout the summer. 
Brian Hagler: Okay. And with that, just starting in September, I mean, have you seen that strength carry over in this quarter? 
Andrew Duff: The strategy continues to perform well but again we'd expect it's going to moderate from the strength of the third quarter. 
Operator: Your next question comes from the line of Matt Fischer with CLSA. 
Matt Fischer: Just one additional question. Regarding the shares, you're down about 5% or just under 1 million shares this quarter. Can you discuss the ability to repurchase shares going forward and what your strategy is there? 
Debbra Schoneman: Yes. So as we have discussed before, we are limited by the bank covenant on our debt facility, which ultimately come through at the end of 2013 and that restricts us to the ability to repurchase stock to offset dilution. We have done that this year. We also worked with our bank to have an amendment to purchase another 25 million, which we did. So that was all completed by the end of Q2. So for this year, no ability to repurchase shares but as we move into 2013, again, have the ability to repurchase back to offset dilution. 
Matt Fischer: Okay. And then I guess is the difference between 3Q and 2Q, just the average shares? There wasn't any... 
Debbra Schoneman: Yes, correct. Yes, it's just the averaging. 
Operator: [Operator Instructions] Your next question comes from the line of Devin Ryan with Sandler O'Neill. 
Devin Ryan: Yes, just to ask one of the earlier questions a little bit differently, just to clarify. Did the amount of capital that was allocated to the strategic trading businesses change dramatically from last quarter? Or were the substantial gains this quarter just more a function of outsized performance on a similar size portfolio? 
Debbra Schoneman: Yes. It has stayed fairly stable, grown just modestly. It really is more the result of outsized performance on capital that was allocated to, in particular, the mortgage strategy. 
Operator: At this time, presenters, there are no further questions. 
Andrew Duff: Thank you. Let me close the call. We're pleased with our performance for the third quarter. We're benefiting from the investments we have made and the additional operating leverage, and we remain confident that it can both can contribute to an improved financial results going forward. Thank you very much for joining us. That concludes our call. 
Operator: This concludes today's conference call. You may now disconnect.